Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Kari Lindtvedt: 00:03 Good morning, and welcome to this presentation of Orkla's Third Quarter Results. My name is Kari Lindtvedt. I'm Head of Investor Relations. We start today with CEO, Jaan Ivar Semlitsch, who will give you the main messages of this quarter. We then move on to our CFO, Harald Ullevoldsaeter, who will share the details of the financials. 00:26 Before we move on to Q&A, Jaan Ivar will share a summary of our main messages and also give a brief comment on the outlook. During the presentation today, you're welcome to post questions on the live chat, and we will address them at the end of the presentation. 00:41 Now, let's begin. Jaan Ivar, the floor is yours.
Jaan Ivar Semlitsch: 00:47 Thank you, Kari and good morning here from a cloudy Oslo. And hopefully, next time when we have this presentation, the room will be fully packed. But I'm very pleased to announce today an organic growth of four point one percent for the quarter. And that's against strong comparables in Q3 twenty twenty, when we had three point nine percent organic growth. 01:10 Effects from the Coronavirus pandemic continued to impact the figures, and so too does the cost inflation and the supply chain disruptions that have been on the rise for the last couple of months. But on an aggregated level, our operations are running efficiently and with very good service delivery, ninety seven percent year-to-date. I think actually that's best-in-class. 01:38 And we will continue to monitor the situation carefully and focus on our three main areas: safeguarding our employees, maintaining and ensuring a good service delivery level; and finally, protecting our long-term value. And I believe that during the pandemic, we have made some very good transactions as well. 02:02 But let me move into the details of the quarter for the financials. Today, we report an EBIT growth of nine percent. It's primarily driven by Hydro Power, due to higher electricity prices, but also contribution from acquired businesses. The improvement, as such, is comforting. Adjusted EPS for the quarter was NOK one point thirty seven, a decrease of six percent due to a lower contribution from Jotun. Jotun has also experienced higher raw material prices, but they are also doing the necessary price increases. Year-to-date, adjusted EPS increased by four percent to NOK three point seventy seven. 02:59 And on the next slide, I would like to reflect on the highlights of the quarter. As mentioned, we had broad-based revenue growth of four point one percent, predominantly volume driven in the same way as in Q2. But I'm glad to see that Orkla Food Ingredients continued to regain volume with continued reopening, adding seven point three percent to our organic growth, but also organic growth within Foods of four point seven percent, Care three point nine percent and Confectionery & Snacks, two point two percent. 03:41 On the other hand, we believe that we still are experiencing some positive effects from more in-home consumption, especially in the grocery channel for Foods and Confectionery & Snacks. 03:56 Underlying EBIT adjusted for branded consumer goods, including HQ was minus three point nine percent in the quarter. Global imbalances within trade and commodities have worsened. Energy prices, freight rates, packaging and raw material prices have all been moving in the same direction. This has impacted our numbers in the quarter, but I believe that we are holding up fairly well and have already implemented several mitigating actions, including price increases. 04:31 And if we assume the current level of raw material prices going forward, we expect to close the gap by the end of Q1 next year. And if we experienced further cost increases on top of that, we will take the further necessary actions to mitigate that. We are very confident in our brands and our ability to price. There is no doubt about it. And furthermore, I’m pleased to see that we are achieving good growth in our prioritized growth areas: Health, Plant-based and Out of Home. 05:10 And on that note, I would like to share some words about our expansion in the Out of Home sector. We have described our ambition to grow in the Out of Home segment, and we know the pizza category very well as well. And we see this area has attractive growth rates, attractive margin rates, and we want to be wherever the consumer is, whether it's in home or out of home. And during the quarter, we closed the acquisition of New York Pizza. 05:46 New York Pizza has international growth potential and opportunities to further scale the business model. It also has a strong heritage in the Netherlands, while we also see Germany and Belgium as highly attractive markets. And therefore, it was a pleasure to announce the acquisitions of three German franchise operations in the quarter. We have now established a solid footfall in the German pizza market, and we are well underway to become one of the leading pizza chains in Germany. 06:22 And in total, we now have six hundred and thirty five outlets in our network. And the three German chains combined have a lot of consumer experience. And coupled with New York Pizza and Kotipizza, we have competence in franchise operation, product development and dough production, and we believe we have a strong platform for further growth. And I really look forward to this continuing and exciting journey. 06:54 And I will now leave the floor to Harald. He will give us some more details of the quarter. So the floor is yours, Harald.
Harald Ullevoldsaeter: 07:12 Thank you, Jaan Ivar and good morning, everyone. Let's have a closer look at the quarter three results. Reported revenue growth for Orkla Branded Consumer Goods was ten percent in the quarter. Acquired companies contributed with seven point five percent and ForEx with a negative minus two percent. Earnings from Branded Consumer Goods, including Headquarters, increased by three percent in the same period, I will come back to this. 07:47 Improvement for industrial and financial investment was mainly driven by higher power prices for Hydro Power in the quarter compared with exceptionally low prices last year. This was partly offset by close to eighty percent decline in the volumes sold in the spot market. As most of you know, we have an energy commitment of one terawatt per year with no EBIT effect. 08:18 We had net non-recurring items of minus NOK sixty six million in the quarter, mainly related to M&A costs and project for production consolidation. Profit from associates decreased by NOK one hundred and fifty million from last year, mainly related to Jotun. And adjusted earnings per share decreased by six percent in the quarter and increased by four percent on a year-to-date basis. 08:48 Let's have a look at the cash flow performance for the first nine months. Cash flow from operation was two point eight billion NOK in the first nine months. The decrease from last year is mainly driven by higher net working capital this year as the last year figures were positively affected by extended credit for public duties, which mainly was reversed in quarter four. 09:17 Underlying improvement in average net working capital in percent of net sales value is still positive, but with a lower rate of improvement compared with last year. Replacement investments were NOK one hundred and thirty four million higher than in the corresponding period of last year and primarily related to factory projects. The largest project is the ongoing construction of a new biscuit factory in Latvia. 09:47 Let me then walk you through the net debt bridge for the first nine months. Net debt, including leasing, increased by seven point six billion NOK to fourteen billion NOK from year-end to end of September. The main cash out over the nine month period was related to the acquisition of sixty seven point eight percent of Eastern in March, NutraQ in June and seventy five percent of New York Pizza in August. 10:19 Share buyback and dividend payments account for three point one billion NOK in cash outflows in the period. Orkla still has a strong financial position, and our net debt level at the end of quarter three corresponds to one point seven times EBITDA based on the last twelve months, when including acquired businesses in the EBITDA. This is well within our ambition not to exceed two point five times EBITDA over time. 10:52 Let's have a closer look at the performance in the Branded Consumer Goods. And as usual, I will start by presenting the overall picture for Branded Consumer Goods, and then I will take you through the individual business areas. Let's start with the top line performance for Branded Consumer Goods. As you can see from the graph to the left, reported revenue growth from our Branded Consumer Goods business grew by ten percent. 11:23 Structural changes had a net positive impact of seven point five percent, while it was negative ForEx translation effects of two percent, mainly from a stronger NOK versus euro and SEK compared to a weaker NOK in twenty twenty. Organic revenue growth added four point one percent in the quarter compared to three point eight percent organic growth for the same quarter in twenty twenty. 11:50 As you can see from the graph to the right, organic revenue growth was three point eight percent for the first nine months compared to one point eight percent organic growth for the same period in twenty twenty. This gives a CAGR from twenty nineteen of approximately three percent. All business areas showed positive organic growth from year-to-date twenty nineteen pre-corona to year-to-date twenty twenty one. 12:19 Moving on to the growth per business areas. As you can see from the graph to the left, there are large variations between the different business areas. The general picture is that Out of Home channel has been recovering and that we still have a strong growth in the grocery sector, but at a slower pace. As markets gradually normalize, we also expect volumes in the grocery channel to normalize. 12:48 Orkla Food Ingredients experienced positive effects in Out of Home channels from the reopening of the most European countries in both quarter two and quarter three. Orkla Food experienced both increased sales through Out of Home and in the grocery channel, while the newly acquired company, Eastern was affected negatively by the Coronavirus pandemic. Our House Care business in Consumer Investments started to face strong comparables in quarter three from the high growth in demand for the second half of last year. 13:24 Let's then have a look at the profit performance for Branded Consumer Goods, including Headquarter. EBIT adjusted for Branded Consumer Goods, including Headquarters, increased by three point one – sorry -- Yeah. So, rephrase. EBIT adjusted for Branded Consumer Goods, including Headquarters, increased by three point one percent in the quarter, reflecting a three point nine percent underlying decline. The underlying decline in the quarter was mainly related to overall cost increases, including raw materials, packaging, transport and energy. 14:02 As we said at our quarter two presentation, we are experiencing a huge increase in our input costs, and there will be a lag effect before this is passed on to our customers. Some companies have increased their paid prices this autumn, but the majority of our companies, the price increases will have effect from quarter one next year. 14:27 Profit declined in India mainly due to the extraordinary high profit level last year, but especially our new company, Eastern also faces reduced export sales as expats has still not gone back to work abroad. As you can see from the graph on the right-hand side, the EBIT adjusted margin decreased by ten basis points on a rolling twelve month basis. The underlying performance in the twelve months period is minus forty basis points. 14:59 Let's then have a look at the performance per business area, starting with Orkla Foods. Orkla Foods reported revenue increase of nine percent in the third quarter, of which four point seven percent was organic growth. The growth was broad-based across most markets, but in some markets, this has to be seen in relation to weaker quarter two sales and somewhat different campaign planning compared to last year. 15:32 Growth was good within food service and convenience, which have been positively impacted by reopening. Growth to grocery is still good, while export sales are lagging due to COVID-19 restrictions. Earnings grew by five point one percent, driven by structural growth and organic revenue growth, while offset by higher input costs across markets. This includes raw materials, packaging, transport and energy. 16:03 The new ERP system in Orkla Foods Sweden is impacting the numbers negatively compared to last year, but the temporary part is reduced. Orkla Foods also experienced a recall in the quarter with a twenty million NOK negative EBIT effect. 16:20 Moving on to Confectionery & Snacks. Revenues from Confectionery & Snacks business grew by three point six percent, of which organic growth was two point two percent. The high market growth in the Nordic grocery due to the pandemic continued in the quarter, but at a lower level. The earnings decrease was fifteen point seven percent due to higher raw material prices, particularly vegetable oils and packaging, combined with higher freight rates and energy prices. Disruption in the trade deliveries have also caused high cost level due to shorter planning horizons. Increases in input costs will be compensated for through price increases. 17:09 Let's have a look at Orkla Care. Revenues from Orkla Care increased by fifteen point three percent in the quarter, of which organic growth was three point eight percent. Orkla Health sales growth across markets, particularly with the omega-3 and vitamins. Orkla Wound Care continues a positive growth trajectory, however, compared with weaker levels for the corresponding period last year, when there were significant restrictions in key markets due to the pandemic. 17:48 Home & Personal Care categories, which had a positive growth similarly earlier on from the pandemic had a flat development in the quarter. Our e-commerce business, HSNG, had stable growth but at somewhat more moderate growth rates than in preceding quarters. The strong reported earnings growth in Orkla Care was driven by the acquisition of NutraQ and positive effects from organic sales growth, in combination with some costs of a one-off nature last year. Higher advertising spend and raw material costs had a negative effect on the numbers. This also led to a margin improvement of two point zero percent. 18:38 Let's move on to Orkla Food Ingredients. Revenues in Food Ingredients increased by thirteen point one percent in the quarter, of which organic growth accounted for seven point three percent. Sales growth was broad-based, both in terms of both segments and geographies. This progress was underpinned by the lifting of the pandemic-related restrictions. Organic sales growth was supported by price increases. Earnings grew by six point two percent, driven by acquisition, while the margin decreased by forty basis points due to higher input costs. 19:23 Let's have a look at performance in Consumer Investments. Consumer Investments had organic sales decline of minus one point seven percent in the quarter, primarily driven by sales decline in Orkla House Care compared with a very strong demand in home improvement last year. Our network of franchise operated pizza stores, that comprises six hundred and thirty five stores in October had double-digit growth in consumer sales. The conversion from consumer sales to operating revenue and ultimately profit was good for the pizza business. Consumer Investments will face strong comparable figures also in quarter four freight and input cost headwind continue short term, while price mitigating action will be implemented. 20:18 This concludes the details of quarter three for our Branded Consumer Goods area. Before I leave the floor to Jaan Ivar, I will give you a short summary of Jotun's performance. Jotun released its interim report in September, covering the period up to the end of August. The positive revenue growth continued for Jotun in all segments except Marine Coatings. Raw material price inflation contributed to lower earnings in the second tertiary and Jotun see margin pressure in all segments. Price actions have been initiated to dampen the effects. 20:59 With this, I'll leave the floor to Jaan Ivar to sum up the main points of our presentation today.
Jaan Ivar Semlitsch: 21:08 Thank you, Harald. And as mentioned, very pleased with the broad-based organic growth of four point one percent for the quarter and taking the year-to-date organic growth to three point nine percent – three point eight percent, and that's against strong comparables of three point nine percent in Q3 twenty twenty. 21:32 The profit conversion is mixed within BCG, driven by increasing cost elements like raw materials and energy, and also to some extent, increased marketing, the ERP project in Sweden and also product recalls. And product recalls for the quarter was actually thirty million NOK. And on ERP Sweden, we are very confident that we now have a very good system in place. 21:59 And then I also would like to mention that we have good momentum for our strategic growth areas: Plant-based, Consumer Health and Out of Home and now with our platform of six hundred and thirty five pizza outlets in the whole of Europe, and this business is not margin-dilutive. 22:21 In terms of outlook, we see uncertainty regarding cost inflation and supply of input factors. This is well known across the world. But we have initiated revenue management actions during twenty twenty one, which are starting to show effect. We have invested a lot in this area. And we will increase our prices to offset the cost increases we experience. But this will take some time. There are some lag effects, of course. 22:48 Furthermore, and this is important, and I have said it before, continuous cost improvement is a part of Orkla culture. And over the past three years, we have realized around two billion NOK in cost reductions, cost avoidance. And the plan is to continue this performance for the next three years ahead. 23:10 And the Coronavirus pandemic still has an impact on our operations to a varying degree, but we believe that the volume in the grocery channel during Q3 continued to be impacted positively, and we expect normalization over time in this channel going forward. 23:30 And then to close in before opening up for Q&A, taking a more long-term view, I'm confident that Orkla is well positioned for the future, and we come out of the pandemic as a strong organization. And I really look forward to our Capital Markets Day the twenty third of November, where we will come back with explicit targets and plans for how this will be delivered. 23:55 So with that, we'll open up for Q&A, and I will be joined then by Kari and Harald. And now we can be a bit closer to each other since we now have no restrictions in Norway. And now Harald has his calculator as well, so that's good.
Harald Ullevoldsaeter: 24:12 Always with me.
Jaan Ivar Semlitsch: 24:13 Yeah.
A -Kari Lindtvedt: 24:15 That's great. And we also have some questions from the web. Let's start with one from Charles Eden, UBS. In the press release this morning, you mentioned a benefit on the margin from accrual-based accounting in the quarter. Can you please quantify this?
Harald Ullevoldsaeter: 24:30 I think this must be related to what we said about the negative one-offs last year in Orkla Care. So this is approximately in the range of twenty million NOK, twenty five million NOK in negative effect last year.
Kari Lindtvedt: 24:48 Thank you. And then we have a couple of questions from Ole Martin, DNB. First one, how was the growth from Naturli' plant-based in the quarter?
Jaan Ivar Semlitsch: 24:59 So we comment here on the year-to-date figures, because we think that's the most relevant. So for plant-based in total, year-to-date, we have a growth of eighteen percent. And for the Naturli' and Anamma part, we have a growth year-to-date of six percent. So we have a broad-based portfolio on plant-based, not just in the Nordics, but we're also doing a lot of exporting on plant-based. For example, in Germany, we are growing with -- yeah, with good momentum.
Kari Lindtvedt: 25:26 That's great. Another question on our new growth initiatives, can you please give some color on the level of revenue you have from pizza, both now, and what do you expect for growth rates in this segment going forward, organically or through new restaurants? How come that this segment of which can Orkla make a difference?
Jaan Ivar Semlitsch: 25:47 Yeah. First of all, we have a lot of experience from Out of Home over many years through our food system and other systems. And we know the pizza category very well. So we have a good platform to build from, both with Kotipizza now and New York pizza. And here -- and this is important, here, a strong brand is important as well with Koti and New York Pizza in the same way as in the in-home segment. So we know a lot around brand-building as well. 26:13 Now in terms of growth rates, they are very attractive. And also pizza seems to be very resilient during the pandemic, and we believe it will be also resilient after the pandemic. And it's up to fifty percent of our ordering now is through the digital channels. So we also have lots of experience in the digital area. So there are many factors here playing in, and we see a combination of further rollout of both acquisitions, but also greenfield organic growth expansion. 26:41 So yes, as you see, Kari, I'm very excited about this. It's a good growth potential going forward. And the way it's set up in terms of the business model is that we've monitored the consumer sales, but our P&L is based on the franchise fees as well. So it's a combination of those two KPIs that we really monitor closely.
Kari Lindtvedt: 27:02 Thank you. And then another interesting question from Ole Martin, how do you see your performance against competition in Q3?
Jaan Ivar Semlitsch: 27:12 Normally, we don't comment upon competitors. But as I said in my introduction, I believe the service delivery level we have, that's best-in-class, because we have a local production setup, and I must say, impressive people in our organization, both on the sales side, but also on the factory side with lots of autonomy out there and making day-to-day decisions.
Kari Lindtvedt: 27:33 Thank you. Final question. How is the growth in India in Q3?
Jaan Ivar Semlitsch: 27:40 Yes, the growth in India, Harald, first of all, we are comparing against very strong figures last year, where we were in the middle of the pandemic. But it's good momentum in India, but I don't have the exact figures. And I'm not sure whether we give those figures.
Harald Ullevoldsaeter: 27:54 No, but we can say that the growth in India and the home market of India was quite okay, but the export sales that affected especially Eastern was also weak in the quarter, as we said, because of the expats not going back to the Middle East yet. So we expect this to improve going forward.
Jaan Ivar Semlitsch: 28:10 Yeah. And then in Kerala, where we have Eastern, it's been more of a pandemic still while in Karnataka, where we have MTR, that situation is very different. So we expect that to normalize over time. And it's important to say that all our employees, I think we're now at ninety nine percent, they have been fully vaccinated in India. So that's also very comforting.
Kari Lindtvedt: 28:34 Thank you. Then we have a question from Petter Nystrom, ABG. On raw material prices, how would you expect margin impact in Q4 and Q1 twenty twenty two? Do you expect Q4 to be even more challenging than Q3?
Harald Ullevoldsaeter: 28:49 It's a great question. It's very difficult to be exact on, of course. What we had said is that we will gradually be hit by this increased raw material prices during the second half of this year due to our contracts expire and we have new market prices. And we also said, as Jaan Ivar said, by the end of quarter one, we have closed the gap, that's given that the prices today are at the same level. If it will further increase, we have to do further price increases.
Kari Lindtvedt: 29:22 All right. And the second question from Petter. You highlighted that you did see some positive COVID effects from in-house consumption in Q3. Do you expect this to normalize during Q4?
Jaan Ivar Semlitsch: 29:34 This is -- I wish I could answer that very precise because this is very difficult. We see many consumers, they are still flexible in terms of homework and office work and that creates still in-home consumption at lunch and at breakfast. So it's really hard to say when this will normalize. And perhaps there are some habits that have sort of just been new habits in different parts of the country, and not just in Scandinavia, but outside Scandinavia as well. So it's not full visibility on this. But we believe that there are some positive effects still, that's important to say, especially in the grocery channel.
Kari Lindtvedt: 30:20 And then we have a couple of questions from Eirik Rafdal, Carnegie. First of all, congratulations on a solid quarter, given the backdrop of rising input costs. Could you please help us understand the timing effects here? What is an exceptionally strong quarter from a margin -- was this an exceptionally strong quarter from a margin perspective, given the backdrop?
Harald Ullevoldsaeter: 30:44 I wouldn't say it was exceptionally strong. I think it's more normal given the backdrop. We were surprised, as Jaan Ivar said, about the strong sales in the grocery market. We would expect it to be more normalized, but this is very uncertain and will take some time, I guess.
Kari Lindtvedt: 31:02 And Jaan Ivar, you state that at the current input cost level, we will have closed the gap by end of Q1 twenty twenty two, assuming stable input cost development through Q4, does this mean you will be back on flat or rising year-on-year EBIT margin in Q1 next year?
Jaan Ivar Semlitsch: 31:20 Yeah. So when we say based on the current level, it's what we know today about the increases. If we have further increases on top of that, then we'll have to do further price increases. And as I said, we have eighty percent of our portfolio being number one and two positions of our three hundred brands. So we have big confidence in our strength to price up. In terms of the exact margin level, that's difficult for me to quantify. And I might leave that to Harald, but we're not normally giving guidance on that. 31:52 I think we've given a lot of input now to calculate the spreadsheets. And then I hope that, yeah, there was a miss on Hydro Power for some of the analysts, so I hope they will not miss on that next time. I just have to say that because we have very good profits from Hydro Power during the quarter, but it's been very little rain on the western part of Norway. So we haven't had full production on Saudefaldene in Norway.
Harald Ullevoldsaeter: 32:19 I could perhaps add that our main priority is to have compensated the cost level, the actual cost increase. Of course, the second priority is also to remain our margin level. But this is a huge increase in cost inflation. So we can't be very precise when we will be back at the margin.
Kari Lindtvedt: 32:42 And then a final question, Care saw a solid year-on-year margin expansion this quarter. How much of this is driven by NutraQ? How does NutraQ affect the margin development?
Jaan Ivar Semlitsch: 32:56 Yes.
Harald Ullevoldsaeter: 32:57 It's a positive mix effect because NutraQ is into the business, that's for sure. It's a good margin in NutraQ business. I don't think we will comment on the development in the company, but we are very happy with the acquisition still the only way.
Jaan Ivar Semlitsch: 33:13 Yeah. And I must say, as I said in my introduction, we have made some very good transactions in my view during the pandemic, because we've had a strong balance sheet and being very focused on the M&A agenda as well in addition to the organic growth agenda. And I strongly believe in Eastern, our expansion into India, complementing MTR in a fantastic way. We have NutraQ into our Health segment, direct-to-consumer, subscription-based, scalable Nordic model, not just the Norwegian model. 33:43 And then I would say, Out of Home to become the leading -- one of the leading pizza chains in Europe. So -- and we take a long-term view here on the value creation, but also positive that it's not margin dilutive, I would say. So it's adding to that dimension as well. So as you can see, I'm very enthusiastic about our strategic growth areas. And in terms of plant-based, then it's more of an organic focus. So when I mentioned the figures through the arc of the eighteen percent and the six percent, that's organic growth. It's not M&A driven, and it comes with good profitability and margin, as opposed to perhaps other competitors where they have not that much margin on their plant-based business.
Kari Lindtvedt: 34:23 Thank you. And then Bruno Monteyne from Bernstein has a couple of questions, too. Looking at the eighty basis point lower margin in Q1 for Branded Consumer Goods, am I right to expect all of that to reverse by end of Q1? I think you already answered that question.
Harald Ullevoldsaeter: 34:41 Yeah. I think I did.
Kari Lindtvedt: 34:41 And then the second question, your strategy was to accelerate growth through brave investments in A&P. Do you feel that it is working or is the growth accelerated due to other factors?
Jaan Ivar Semlitsch: 34:53 It's a great question, Bruno. I feel its working. We are continuing to invest in marketing. Its part of our organic growth agenda, but there are many other factors as well. We innovate now even more around our core brands to make them even stronger as number one and two positions, the whole brand-building in addition to the innovation agenda. And then I would also say that there is a lot also how we spend the marketing. So we do much more digital marketing now than before. It's about fifty percent of our total marketing spend now is digital. 35:26 And then we also have our direct-to-consumer platforms. I mentioned NutraQ. But if you go to mollers.no, we now have our own website for Mollers, one of our strongest brands in the portfolio with a good growth potential, where we grew nine percent for Mollers last year, and we continue to grow the Mollers brand. And in addition to the Jordan brand, which we are also growing internationally. So it's a great question, and we will also come more back on the Capital Markets Day.
Kari Lindtvedt: 35:53 Thank you. M&A also seems to be boosting your margins. Can you explain a bit more about how they can be margin boosting so quickly?
Jaan Ivar Semlitsch: 36:03 Yeah. Well, I believe the transactions are good and we have analyzed very carefully. We've also said not lots of transactions. So we've had a good pipeline. And then, yeah, it comes with attractive growth rates and attractive margin rates. It's important for me to say that the growth is important as well. We want to be wherever the consumer is, whether it's in-home or out-of-home.
Harald Ullevoldsaeter: 36:26 It's not due to any non-recurring items. It's normal business for this acquired company.
Jaan Ivar Semlitsch: 36:30 Yeah. Actually, for NutraQ, we have had a one-off of ten million NOK on the product recall. So yes, that's in those thirty million NOK I mentioned, twenty million NOK for Foods and ten million NOK for NutraQ.
Kari Lindtvedt: 36:46 Great. And then the final margin question from Bruno, margin on your pizza licensing materially lower than the rest of your business.
Harald Ullevoldsaeter: 36:55 I think -- sorry. [Multiple Speakers]
Kari Lindtvedt: 36:56 Even more. Am I right to assume that capital invested is much lower as well, hence, similarly good return on capital invested?
Harald Ullevoldsaeter: 37:07 These businesses are newly acquired. So the return on capital employed will normally be lower. But over time, we expect this to reach the current level in Orkla and exceed it, I guess. And why the margin was a bit lower is due to these businesses also include other business like a wholesale business in Finland, and we have dough sales from the Netherlands. So the total business is much more than the franchise fee from our pizza operations.
Jaan Ivar Semlitsch: 37:38 Yes. And I could add that New York Pizza with their dough production, they export the dough to eighteen markets and including Kotipizza. And that's also a reason for the good cooperation between Kotipizza and New York Pizza over the last ten to fifteen years, not just on product development but also on the top management level. And then through that export business, we're also getting contact with new franchisees and potential acquisition candidates.
Kari Lindtvedt: 38:05 Interesting. And then we have John Ennis, Goldman Sachs, a couple of questions on the Care division. Can you help break down the EBIT growth of this division between organic, FX and M&A?
Jaan Ivar Semlitsch: 38:20 That's a great question for you, Harald.
Harald Ullevoldsaeter: 38:22 Yes, but we don't comment on these numbers, but we can say that we have a strong growth in our Health part of this business area, while the other part -- and Wound Care, as we said, while the other part, the Home & Personal Care is more a flat development during the quarter.
Jaan Ivar Semlitsch: 38:42 And if I may add also good momentum in HSNG, our direct-to-consumer within sports nutrition.
Kari Lindtvedt: 38:49 True. Within the division, you called out some positive accrual-based accounting. Can you give us some more detail? I think you already answered that question. You didn't see much cost pressure for Orkla Care this quarter. Is this due to commodity hedges, meaning cost pressures will start impacting the business in Q4? Or is the raw material basket simply seeing much inflation?
Harald Ullevoldsaeter: 39:15 I think they will feel the same pressure as all the other business areas during the next quarter.
Kari Lindtvedt: 39:23 And then we have Markus Heiberg, Kepler. Your growth versus twenty nineteen is on a very high level. How is Out of Home comparing to twenty nineteen?
Jaan Ivar Semlitsch: 39:34 Yes.
Harald Ullevoldsaeter: 39:34 Yes. Out of Home is more or less recovered if you have a very broad view on it, while the grocery market, as we said, is a bit on the high side, but we are very uncertain on when we will graduate -- will normalize or what the effect will be.
Jaan Ivar Semlitsch: 39:53 Yeah. And we have made some also good acquisitions within Food Ingredients, and they are also showing good progress on that. And in terms of the reopening of the societies, of course, for food ingredients in the Nordics, that's very positive, but we should bear in mind that we are also in the U.K. with a sizable business and in the Benelux on a sizable business for Food Ingredients. And that market has not sort of fully reopened, and we hope that will reopen even more in the U.K. and in the Benelux.
Kari Lindtvedt: 40:26 True. And then what seems to be the final question for now, Charles Eden, UBS. Raw materials, could you give an indication of the level of inflation you are expecting heading into twenty twenty two? When you price to -- when is your price to offset this? Is this to protect gross profit? Yes, on margin. I think you --
Harald Ullevoldsaeter: 40:46 I think we have answered the question, yeah.
Kari Lindtvedt: 40:48 High level of uncertainty still?
Jaan Ivar Semlitsch: 40:50 Yeah.
Kari Lindtvedt: 40:51 All right. I think that concludes all the questions from the web. Thank you, both, Harald and Jaan Ivar. Q -
Jaan Ivar Semlitsch: 40:56 Thank you, Kari.
Harald Ullevoldsaeter: 40:57 Thank you, Kari.
Kari Lindtvedt: 40:57 And then to the audience, please also remember that we are hosting a virtual Capital Markets Day on the twenty third of November. So please register for that. That concludes the session for today. Thank you all for joining, and have a nice day.